Operator: Good day, ladies and gentlemen, and welcome to the AeroVironment Inc. Third Quarter Fiscal 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session after management remarks. As a reminder this conference is being recorded for replay purposes. With us from the company is the Chairman and Chief Executive Officer, Mr. Tim Conver; Interim Chief Financial Officer, Ms. Teresa Covington; and Vice President of Investor Relations, Mr. Steven Gitlin. And now at this time I'll turn the conference over to Mr. Gitlin. Please go ahead, sir.
Steven A. Gitlin - Vice President of Investor Relations: Thank you, Latoya, and welcome to AeroVironment's Third Quarter Fiscal 2015 Earnings Call. Please note that on this call certain information presented contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties, including but not limited to, economic, competitive, governmental and technological factors outside of our control that may cause our business strategy or actual results to differ materially from the forward-looking statements. For a list and description of such risks and uncertainties see the reports we filed with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date on which they are made. We do not intend and undertake no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. The content of this conference call contains time sensitive information that is accurate only as of today, March 3, 2015. The company undertakes no obligation to make any revision to the statements contained in our remarks or to update them to reflect the events or circumstances occurring after this conference call. We will now begin with remarks from Tim Conver. Tim?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Thank you, Steve, and welcome to our third quarter fiscal 2015 earnings call. Today I'll discuss our Q3 performance and highlight some of the important progress we've made. Teresa Covington will review Q3 financials and year-to-date results, then I'll discuss our outlook for the balance of the fiscal year before we take your questions. Our team continued to execute our strategy successfully and we delivered results in line with our full year plan. Q3 revenue of $68.4 million was slightly above Q3 last year and slightly below our expectations for this year due to component part shortages. The component issues have now been resolved for Q4 shipments. Healthy customer funded R&D revenue in Q3 across multiple projects reflected continued customers interest in our advanced developments. Gross profit margin of 39.5% for the quarter was in line with expectations. Total revenue of $173 million for the first nine months of the year leaves $87 million to go to achieve the midpoint of our annual revenue guidance. Our team once again extended our market leadership in our core business during Q3. In our EES business segment, we introduced TurboDock during the quarter. This is a simpler lower cost solution for workplace charging that we believe can expand our EV charging footprint and will help support broader EV adoption. TurboDock leverages the unique size and dual-voltage design of our successful TurboCord residential charging solution. It adds a smartphone user interface and back office support to provide a compelling new solution for the workplace. Our charging station costs, availability and access issues have slowed adoption to-date. In our UAS business segment, we began shipments of new Wasp AE systems to the U.S. Marine Corps in Q3. This is the first contract to support the Marine's new small unmanned airplane system family requirement. We also continued to successfully demonstrate shipboard applications of Puma AE during the quarter. Broad and positive customer response continues to reinforce our expectation of significant Navy and other maritime opportunities for our solutions. We also continued to make progress on expanding from our core small UAS business into next generation larger UAS solutions. We're currently executing on Phase II of the contract for DARPA's TERN program. The goal of this program is to develop a new class of unmanned airplane system capable of long range and long duration operations from naval vessels such as destroyers that lack deck space for traditional aircraft operations. We have an innovative and practical approach to delivering this capability and are working with a team of industry leaders to develop and demonstrate our system solution. We anticipate a customer decision regarding the TERN Phase III contract in our fiscal year 2016. Now turning to our international UAS business. You may recall that in 2013 we signed a teaming agreement with Dynamatic Technologies to explore opportunities for our small UAS in the Indian market. Our persistent work together is beginning to yield positive results. We were recently selected as the first of four pathfinder projects as part of the U.S./India defense technology transfer initiative. This is a strategic initiative supported at the highest levels of both governments. We're working with Dynamatic, the U.S. and the Indian governments to finalize terms on a joint development and production program in India named Cheel. Cheel is to be the next generation small UAS based on our small UAS leading market technology solutions and Dynamatic's cost effective aerospace capabilities. The Indian military is one of the world's largest and has expressed requirements for small UAS. This program's initial objective is to provide a compelling and rapidly available solution for those procurement opportunities. We will update you as we finalize details on this project and begin to move ahead. Beyond our activities in India, we continue to see significant interest in our small UAS solutions from allied military forces around the world. International order flow timing tends to be more difficult to predict accurately, but we expect multiple proposals to be decided on over the next few quarters. In government fiscal 2016, DoD budget request was recently released and we found no significant surprises. Budget identified procurement line items have averaged only 15% of our actual DoD bookings over the prior two years. Independent of the budget, it's important to note that the threat environment that drove the initial demand for both small UAS and Switchblade and then validated their compelling advantages does not seem to be abating. Now onto this year's increased investments in three of our largest growth opportunities: Tactical Missile Systems, Global Observer and Commercial UAS solutions. The return on invested capital from adoption and success in these markets is compelling. Positioning for success in these opportunities is a key element of executing our growth strategy to build stockholder value. We are increasing these investments because lead customers in each market continue to show increased interest in adoption. We're managing these investments with a metered and gaited approach to stay closely linked to customers and adoption timing. These investments have mainly been on the income statement to-date in the form of research and development and business development expense. We've made significant progress year-to-date and we continue to strengthen our positions and build options for AV's success when the adoption window opens for these transformational opportunities. In Tactical Missile Systems we're investing in two key areas. First, the development of Switchblade variants to address customer interest in additional concepts of operation. Second, we're developing the capability to demonstrate the compelling solution for an Army program of record. We are pleased to report that initial demonstrations of the first of three new Switchblade variants exceeded customer expectations, and we received follow-on customer funding early in Q4. Two additional Switchblade variant programs for different customers are progressing well and are on schedule. We continue to optimize Switchblade for an Army LMAMS program of record that would institutionalize the enduring requirement and the volume demand for multi-year procurement of sustainment. A program of record continues to gain strong support within the U.S. Army. We are also making incremental investments this year in Global Observer. Customers in other countries continue to express interest in Global Observer solutions and we have developed teaming relationships to optimally address each. In Turkey, we are working through our joint venture, Altoy, our memorandum of understanding with Aselsan and others. Our memorandum of understanding with Lockheed Martin is focused on another opportunity set. The timing of these potential opportunities remains uncertain, but the need and the value of affordable seamless persistence is clear. In Commercial UAS, we successfully completed our first season of delivering advanced information services to BP in Alaska. We continue to work closely and collaboratively with BP to expand our services and to integrate into their regular operations. It is important to note that BP has already added pipeline inspection to the scope of our services contract for calendar year 2015. We are excited about BP's success to-date and the opportunities ahead. Our successful operations in Alaska have led to significant increase in the FAA authorized airspace for our Commercial UAS flight operations. As a result, we are now responding to multiple requests for proposal from new customers for our services in Alaska. We expect to expand further within and beyond Alaska this year in the oil and gas industry. In addition to the oil and gas industry and Alaska, we continue to support and work with early adopters of small UAS for use in public safety applications. We also are evaluating broad and high value applications in agriculture. These and other industry specific solutions show great promise for delivering actionable information that can drive high returns on investment for adopting customers. We were pleased to see the FAA recently released proposed rules for the small UAS operation. First it's important to understand that these are proposed rules, and that the regulations that had been governing our industry remain in effect until new rules are implemented. The public comment and review period may ultimately take many months, at a minimum, and potentially longer. In the meantime, we are aggressively expanding our commercial operations in Alaska as I discussed earlier. We're also pursuing all other means for near-term options for authorized Commercial UAS operations elsewhere in the United States. We believe that preserving the safety of the National Airspace System is vitally important and that the FAA rules need to incorporate standards to ensure safety in UAS operations. AV invests significant time and resources in developing, testing and validating the underlying technologies and the integrated solutions that enable our systems to operate safely. We have logged more than 1 million operating miles, and we know very well what is required for safe operations. We believe that many industries will come to depend on UAS technologies in support of their mission critical operations and will necessarily seek safe, professional grade solutions to do so. Further, we believe that the right solutions are capable of safe operation beyond line of sight in the hands of trained and qualified operators. The release of the proposed rules is a significant start to a discussion that we hope will lead to practical laws that enable the many industries, organizations and the economy to benefit from these solutions while protecting our airspace and the people and property underneath it. We have continued to expand our research and development capacity. And we made progress in developments for Tactical Missile Systems and Commercial UAS during the quarter. However, competition for R&D resources from growing customer research and development contracts, which we record as service revenue, limited our total Q3 internal R&D to about flat quarter-over-quarter. We did accelerate our work to refine customer requirements, define optimal solution sets and explore accelerated market access for these emerging new opportunities. These investments are primarily reflected in our SG&A. Our year-to-date delay in internal research and development spending has not reduced our expected total investment. Rather, it pushed that investment to the right. In the meantime, flat R&D investment quarter-over-quarter resulted in higher operating profit in the third quarter. Moderate success in any of these three growth opportunities can significantly enhance stockholder value. Good success in all three will be transformational for UAV – for AeroVironment. With the overview of the quarter, now I'd like to introduce Teresa Covington, our interim CFO. Teresa joined AeroVironment in 2011 to lead finance for our EES business segment. She's been a key member of AeroVironment's senior financial team since that time working closely with the management team on operations across the entire organization. Teresa will now provide a financial overview. Teresa?
Teresa P. Covington - Interim Chief Financial Officer: Thank you, Tim, and good afternoon, everyone. AeroVironment's fiscal 2015 third quarter results are as follows. Revenue for Q3 was $68.4 million, a decrease of $0.8 million or 1% as compared to $69.2 million a year ago. Looking at revenue by segment, UAS revenue was $58 million, an increase of $0.5 million or 1% compared to last year. The increase was primarily due to higher customer funded R&D work of $2.9 million, partially offset with lower service revenue of $2 million and lower product deliveries of $0.4 million. EES revenue decreased $1.4 million or 12% to $10.4 million in the third quarter. This decrease was primarily due to lower product deliveries of our electric vehicle test systems. Turning to gross margin, gross margin for the third quarter was $27 million, a decrease of $0.1 million as compared to $27.1 million in the prior year. By segment UAS gross margin increased $0.8 million or 4% to $24.8 million in the quarter. The increase was primarily due to favorable product mix. As a percentage of revenue, gross margin for UAS increased from 42% to 43%. EES gross margin decreased $0.9 million or 29% to $2.2 million in the quarter, primarily due to higher manufacturing and engineering overhead support costs, lower sales and unfavorable product mix. As a percentage of revenue, EES gross margin decreased from 27% to 21%. SG&A expense for the third quarter was $13.3 million or 19% of revenue compared to SG&A expense of $13.2 million or 19% of revenue in the prior year. R&D expense for the third quarter was $8.6 million or 13% of revenue compared to R&D investments of $5.2 million or 8% of revenue in the prior year. R&D investments increased by $3.3 million year-over-year. Operating income for the third quarter was $5.1 million or 8% of revenue compared to the prior year operating income of $8.6 million or 12% of revenue. Operating income was lower primarily due to higher R&D investments. Other expense for the quarter was $0.1 million compared to the prior year other income of $4.9 million. Other income was lower primarily due to the prior year unrealized gain related to our CybAero convertible notes investment. The effective tax rate for the quarter was 54%, an increase from the prior year of 17%. Net income for the quarter was $2.3 million or $0.10 per diluted share compared to net income of $11.2 million or $0.49 per diluted share in the same quarter last year. On an adjusted basis, which excludes the impact of the CybAero investment, EPS would have been $0.10 per diluted share compared to $0.34 per diluted share in the same quarter last year. We have provided an EPS reconciliation table in the press release. Now moving quickly through our first nine months fiscal 2015 results. Revenue for the first nine months of fiscal 2015 was $172.9 million, a decrease of $5.3 million or 3% as compared to $178.2 million in the prior year. UAS revenue decreased $6.5 million or 4% to $142.3 million, primarily due to decreases in service revenue of $5.5 million and customer funded R&D work of $4 million, offset by higher product deliveries of $3.1 million. EES revenue increased $1.2 million or 4% to $30.7 million primarily due to increased product deliveries of our industrial fast charge systems. Gross margin for the nine months was $58.9 million as compared to $63.5 million in the prior year. This represents a decrease of $4.6 million or 7%. Gross margin was impacted by a government contract accounting reserve we set up in the second quarter for prior year incurred cost audit findings. UAS gross margin decreased $4.9 million or 9% to $50.4 million. The decrease is primarily due to a termination settlement for a Global Observer technology demonstration contract that occurred during the first nine months of the prior year, and lower service margins. As a percentage of revenue, gross margin for UAS decreased from 37% to 35%. EES gross margin increased $0.4 million or 5% to $8.5 million, primarily due to higher sales volume. As a percentage of revenue, EES gross margin remained at 28%. SG&A expense for the nine months was $40.1 million or 23% of revenue compared to SG&A expense of $38.7 million or 22% of revenue in the prior year. R&D investments for the nine months were $24.2 million or 14% of revenue compared to R&D investments of $19.3 million or 11% of revenue in the prior year. Operating loss for the nine months was $5.5 million or negative 3% of revenue compared to operating income of $5.5 million or 3% of revenue last year. Other income for the nine months was $0.4 million compared to the prior year other expense of $0.4 million. Other income was higher primarily due to the prior year expense related to the conversion feature of our CybAero convertible notes investments. The effective tax rate for the nine months was 8% compared to the effective tax benefit rate from prior year of 12.3%. The net loss for the nine months was $4.2 million or $0.18 loss per share compared to the net income of $5.7 million, or $0.25 per diluted share last year. On an adjusted basis, which excludes the impact of the CybAero investment, EPS would have been a $0.19 loss per share compared to earnings of $0.28 per diluted share in the prior year. Looking at backlog, funded backlog at the end of the quarter was $89.3 million, up $23.4 million, or 36% from April 30, 2014. Turning to our balance sheet, cash equivalents and investments at the end of the third quarter totaled $258.1 million, up $1 million from the prior quarter. The increase in cash equivalents and investments was driven by lower working capital needs. Turning to receivables, at the end of the third quarter, our accounts receivable, including unbilled receivables, totaled $46.2 million, up $8 million from the prior quarter. Total days sales outstanding was at approximately 61 days compared to 65 days at the end of the prior quarter. Taking a look at inventory, inventories were $48.8 million at the end of the quarter compared to $51.8 million at the end of the prior quarter. Days in inventory were approximately 106 days compared to 134 days at the end of the prior quarter. Turning to capital expenditures, in the third quarter, we invested approximately $1.2 million, or 2% of revenue in property improvements and capital equipment. AV recognized $2.1 million of depreciation in the quarter. Now an update to our fiscal 2015 visibility. As of today, year-to-date third quarter revenues of $173 million, third quarter ending backlog that we can execute in fiscal 2015 of $73 million, fourth quarter quarter-to-date bookings that we can execute in fiscal 2015 of $4 million, unfunded backlog that we expect to recognize in fiscal 2015 of $4 million, and revenues needed to hold EES revenues flat relative to last year of $6 million. This puts the total fiscal 2015 revenue visibility at $260 million, or 100% of the midpoint of guidance. This implies fourth quarter revenue of $87 billion. Now I'd like to turn things back to Tim to discuss AV's expectations for the balance of fiscal 2015.
Timothy E. Conver - Chairman, President & Chief Executive Officer: Thanks, Teresa. We guided on revenue and gross profit margin this year to maintain visibility on our core business operations because planned R&D and SG&A investments could consume more operating profit. We remain on track for our fiscal 2015 annual revenue and gross profit margin guidance. We plan to significantly increase our fiscal 2015 growth opportunity investments this quarter, including a target to increase IR&D by more than 50% over Q3. Our visibility gives us confidence in our fiscal 2015 guidance of $250 million to $270 million in revenue. Strong Q3 gross profit and our Q4 outlook support our gross profit margin guidance of 34.5% to 37.5%. In Q4, the primary focus of new bookings in on building backlog for fiscal 2016 revenue. Looking ahead, our funded backlog and our new order pipeline remain strong. Our increased investments this year are positioning us well for market opportunities that can drive significant stockholder value. We will continue to closely monitor and adjust these investments based on customer adoption behavior, timing and projected returns on investment capital. We're actively engaged in the planning process for fiscal 2016. And we're excited about the opportunities ahead. We look forward to providing you with our views on the coming year in our Q4 earnings release. Before we close the call and open it for Q&A, I want to recognize our employees for their hard work every day that has extended AV's position as a market leader across our business segments and our product lines, while at the same time positioning AV for leadership in exciting new markets with compelling innovations. This team is the best in the world at what they do. Thank you for your interest. And now, we'll take your questions.
Operator: Thank you. The first question is from Michael Ciarmoli of KeyBanc. Your line is open.
Kevin Ciabattoni - KeyBanc Capital Markets, Inc.: Hi, good afternoon, guys. This is actually Kevin on for Mike. Just wondering if you could give us any color on the – additional color, I guess, on the TERN program? And now that the first down-select is complete, what the company's working on there to get ready for the next down-select and whether you're still expecting that to occur in the next nine months or so? I think last quarter, you'd said give or take 12 months. Kind of where that stands now.
Timothy E. Conver - Chairman, President & Chief Executive Officer: Sure, Kevin. TERN is the – a DARPA program that's intended to be a next-generation unmanned airplane system. It's a ship-based, vertical take-off and landing, medium-altitude, long-endurance platform. Five companies competed during Phase I, that was down-selected to two companies currently competing in Phase II. We do expect Phase III to be awarded during our fiscal year 2016. We're working on an innovative approach that we believe represents a high value and highly reliable means of achieving the DARPA objectives. We have a broad team of industry experts collaborating with us in developing and demonstrating this system design that our team has developed. And we think this puts us in a strong position for next-generation larger UAS solutions that I've said before is a priority for us.
Kevin Ciabattoni - KeyBanc Capital Markets, Inc.: Okay. Thanks, Tim. And then just looking at the R&D line, any color you can give us there in terms of how the mix has changed over the past quarter or so and kind of where you see it going in 4Q as it relates to specific programs or markets?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, our R&D, I think of it as being divided into three sections. We're running internally-funded R&D to support our core businesses. We are investing incrementally in internally-funded R&D to position ourselves for these three large emerging markets that we see adoption activity increasing within customers. And we conduct customer-funded research and development. And what – we've been building our R&D capacity significantly through the year. We knew we planned on incrementally increasing the investments for these growth opportunities. That capacity growth is both in terms of internal resources and developing additional external relationships that can execute R&D in conjunction with us. During Q3, we had a significant increase in customer-funded research and development activities. That competes directly with the same resources that we apply to our internal projects. And so, the balance of R&D that was allocated to the core business and R&D that was allocated to our growth opportunities accounted for the – a flat internally-funded R&D quarter-over-quarter. We expect to significantly increase our R&D in Q4. And our target, as I mentioned in my call, is to increase internally funded R&D by over 50%. This is still a delicate dance between allocation of scarce resources to multiple high-priority activities, but we think we're getting our capacity where we need it, and we're moving ahead with that intent.
Operator: Thank you. And the next question is from Tyler Hojo of Sidoti & Company. Your line is open.
Tyler E. Hojo - Sidoti & Co. LLC: Yeah, hi. Thanks for taking the question. I guess the first one, just on, Tim, you mentioned kind of multiple RFPs coming in, just kind of similar to what you're doing with BP in Alaska. I was hoping that maybe you could just maybe just talk about the size of this near-term opportunity. And also what the competitive dynamic looks like. I mean, how many people do you think kind of offer a similar sort of offering? Or maybe just generally competing for the same work you are?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Let me maybe address the competitive issue first, Tyler, and then try to talk about the size of the operations. When BP put out RFPs for the services that they were interested in previously, they had multiple responses from many different types of organizations, including multiple UAV suppliers. In the final analysis, we were selected for all of the services exclusively. I think that goes to – that says a lot about a sophisticated organization doing an informed analysis of available capabilities and matching them to the needs of the organization. We continue to see multiple other companies, primarily companies with quadcopter capability in the commercial space. They're clearly great fun to fly, they produce wonderful video; they're carrying an increasing number of other payloads. But I think we find that large enterprises that are looking at integrating this capability into the core part of their operations are looking for reliable, safe, professional solutions that can operate not just when it's a pleasant day outside, but when their operations require it. And as a result, we've been extremely successful in competing in those environments. As to the size of the operation, the number of opportunities are growing dramatically, dramatically. We started with one customer in Alaska. So, but they're growing by quite a bit based on the success in the first year. I still don't expect that to transition into meaningful revenue contributions yet this year. We're still – in each one of these new organizations, we'll be working with them for the first time as they evaluate how they integrate this capability into their operation. As I mentioned in my call earlier, BP is moving forward to add new services and to overtly move to integrate these services into regular operations, and I think that's very positive. And it supports our view that there's significant economic return for customers that adopt this capability.
Tyler E. Hojo - Sidoti & Co. LLC: Okay. Great. Thanks, Tim. And just a second question if I may. Just on the R&D line of questioning earlier, could you maybe just talk a little bit about how early on or where you think you are in this kind of development spending curve? Is it early? Should we kind of expect kind of elevated levels to persist for some time? Just some general comments there would be helpful.
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, if you recall, when we initiated our plan for fiscal 2015 and announced our intent to make significant investments in R&D and in SG&A to position ourselves for these three emerging markets, the majority of our investments was anticipated to be in research and development for the new solutions optimized for these applications. And that is turning out to be the case. Most of our investments are in R&D and a lesser amount in SG&A. We're behind our plan year-to-date in our R&D investments. We're trying to play catch up in Q4. To the extent that we don't complete all of the R&D investments that we had planned for fiscal 2015 and they continue – as they look right now, they continue to look like they are necessary and appropriate for optimally positioning for these opportunities, then we'll probably move that incremental amount into the first part of 2016. Beyond what we had planned for 2015, it'll – I think the situation will remain open for analysis and reaction to what customers decide to do and what the timing of adoption looks like as it evolves. It's a constantly-moving target. And when and if we see the acceleration of adoption that would call for increased investment to maximize the stockholder returns that we can get from capturing a market position there, we'll clearly look seriously at that. But that will be sometime in 2016. And we may or may not know anymore as we talk about our plan for 2016 when we present that to you next call.
Operator: Thank you. And the next question is from Josephine Millward of Benchmark Company. Your line is open.
Josephine L. Millward - The Benchmark Co. LLC: Hi, Tim.
Timothy E. Conver - Chairman, President & Chief Executive Officer: Hello, Josephine.
Josephine L. Millward - The Benchmark Co. LLC: Tim, given the limited visibility you have on the fiscal year 2016 budget requests, what do you see as the biggest drivers for AV in the coming year? Is it international? Is it the Switchblade? And do you expect the DoD to continue to upgrade those small UAS fleet?
Timothy E. Conver - Chairman, President & Chief Executive Officer: I think the answer to all three of those questions will be yes, Josephine. Our pipeline and our activities in international business development indicate strong and growing demand. As I mentioned in my comments, the timing of contract processing for international orders is a little more difficult to be accurate about. But clearly the pipeline is there, and we think that will continue to grow. Interest and demand for Switchblade is increasing. We have obvious constraints in the budget, and it's a new program that needs to get adjudicated across theaters. But I think the demand for Switchblade itself, the strong interest in the variants that we're developing for Switchblade and the growing support within the army for a program of record for LMAMS are all positive indicators for future demand. As to the small UAS that you mentioned, I think the sustainment activities are likely to continue. There are other programs that appear to be driving upgrade demands in small UAS across DoD. And we have the new CPDs in both the Army and the Marine Corps for the family of small UAS that we think, although we don't know the specific timing of that, we expect to continue to see that to generating demand for Puma AE, Wasp AE and others in the future.
Josephine L. Millward - The Benchmark Co. LLC: Tim, a follow-up on that. Can you expand on this U.S.-India technology transfer initiative? It seems like the Indian papers are talking about joint production of the Raven perhaps later this year and a multi-billion dollar pipeline. Can you give us a little more on that?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Yeah. I'll mostly reiterate the comments I made during my previous comments, and if that isn't adequate, then I'll follow up later. This is a strategic initiative between the governments of the United States and India, that's a joint defense technology transfer agreement. And this project for small UAS is the first pathfinder project along the way of what is anticipated to be a broad and growing defense technology agreement. The initial intent of this project is for AeroVironment and our partner Dynamatic's that we signed an MOU with in 2013 for the purpose of pursuing small UAS in India, and for the two companies to do a joint development and production program of a next-generation small unmanned airplane system. We're applying all of our technology and knowhow to this program. And our – Dynamatic's will apply their technology, their knowhow and their extensive aerospace manufacturing capability within India as we jointly develop this and then produce this in India. The initial intent of that production capability of this new design will be to address what we believe is a large demand within the Indian government. There's, I believe, something like 550 brigades in the Indian Army, which is one of the largest in the world, plus other police requirements. So, the potential requirement is quite large. The interest at the highest levels of the government seems to be real and on point. So we're in the process now of working with Dynamatic's, with the U.S. government and with the Indian government to finalize the terms of how we would structure this agreement and how we would move forward. And as we get that finalized and begin actually moving, then we'll report more to you.
Operator: Thank you. The next question is from Troy Jensen of Piper. Your line is open.
Troy D. Jensen - Piper Jaffray & Co (Broker): Hey, yeah. Thanks for taking my question. Hey, Tim, just to put some numbers behind those R&D comments, so $8.6 million in the January quarter should go to $13 million? I'm assuming there's no externally funded R&D to offset that.
Timothy E. Conver - Chairman, President & Chief Executive Officer: That's our target. And you could hopefully hear me hedging that a little bit. That's what we want to do. That's what we're planning on doing. And we have ongoing competition with our customer-funded R&D to accomplish it with the same resources. But that looks like an achievable plan at this early point in the quarter.
Troy D. Jensen - Piper Jaffray & Co (Broker): Okay. Understood. And then on the R&D spend, are you guys doing any development in data analytics outside of capturing video, just to process and interpret what the camera sees (42:53)?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Excuse me. I missed the first part of the question, Troy. Could you try that again?
Troy D. Jensen - Piper Jaffray & Co (Broker): Yeah. Just on the R&D spending. Is any of it going towards data analytics?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Oh. Yes. Yep, in terms of the R&D that's being applied towards our growth opportunities, it includes UAV platforms, payloads and the data analytics associated with much of the actionable intelligence intent of our commercial solution.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right. Understood. Last question and I'll cede the floor. With the proposed rules for UAVs, just curious to know if you think that the line of sight, there's going to be any type of constraints to growth here?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, to the extent that the existing constraint on line of sight stays in place, it does clearly limit the potential benefit that customers can achieve from these solutions. As I mentioned in my comments, we believe that a properly-defined solution with properly trained and certified operators can safely operate beyond line of sight. And I think there's probably room for ongoing discussion with this. Clearly, the FAA's intent is safety in the national air space. And there are huge potential economic benefits to optimizing these solutions. So we'll continue to work with the FAA and with our providing optimized design solutions to maximize safety in that environment.
Operator: Thank you. The next question is from Greg Konrad of Jefferies. Your line is open.
Greg Konrad - Jefferies LLC: Good evening. I just wanted to go back to commercial UAVs. It seems like you're making some progress with BP and you mentioned that you had a bunch of other RFPs out there. So obviously without blanket rules in place, you have some flexibility to kind of go after commercial business. When these rules finally do get in place, what are kind of the biggest markets that open up after versus kind of some of the things you can do on a one-off basis today?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, we've been focusing, as we've described, primarily on large industrial markets that by nature are global, oil and gas, for example, agriculture, for example. Both of those appear at this point to offer very large global opportunities, and in both cases, the use of unmanned aircraft to capture digital data, process that data to generate concise actionable information that significantly improves the safety and the economics of the operation of the enterprise and as a result delivers significant return on investment. To the extent that that continues to be validated as we roll out these solutions with those and other industries like that, then these large projections of economic activity associated with commercial UAS seem quite plausible to me.
Greg Konrad - Jefferies LLC: And then just to go back to electric vehicle charging, have you seen any impact in the business from gas prices? I know they've obviously been fairly volatile. And then just kind of the follow-up to that. Over the past three years, you've announced a number of kind of preferred relationships with different models of electric vehicle. What type of take rate are you seeing on that to help us kind of correlate sales of these vehicles kind of with AVAV products?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, we've had quite a difficulty in getting an accurate tie with EV sales and our attach rate because the mechanism for selling the chargers is not directly with the car. But consumers make their decision for charging infrastructure independent, and they make it in – with – not necessarily in the same timeframe. So, I don't have an accurate answer for our attach rate with you. We have clearly seen a decline in the last couple of months in the sale of plug-in electric vehicles. It's very early and it's hard to make a – determine what the correlation is with the price of gasoline. But one would suspect that higher gas prices would motivate higher EV sales. But I think it will be a few more months at the minimum before anyone makes an informed correlation decision there.
Operator: Thank you. The next question is from Michael Ciarmoli of KeyBanc. Your line is open.
Kevin Ciabattoni - KeyBanc Capital Markets, Inc.: Hi. Good evening, again, Kevin. Just a quick follow-up. Tim, just wondering what drove the increase in customer-funded R&D in the quarter. Was it – it seems like it was unexpected and I'm just wondering what kind of drove that.
Timothy E. Conver - Chairman, President & Chief Executive Officer: Well, I don't think it was necessarily unexpected, Kevin. But there are multiple projects being funded by customers, most of which I will leave for the customers to announce. The nature of customer-funded R&D often can be sensitive competitive information, although the largest piece of that is the TERN program.
Kevin Ciabattoni - KeyBanc Capital Markets, Inc.: Okay, great. Thanks. That's all I have.
Operator: Thank you. The next question is from Joe DeNardi of Stifel. Your line is open.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Hey. Good evening. Tim, I'm wondering if you could talk about, given some of the issues or maybe the headwinds you're having with the EES business, does that business still make sense to have within AeroVironment? Maybe what are some of the synergies that flow through to the UAV business? And do you see that as an impediment to a potential acquirer not necessarily wanting the EES business?
Timothy E. Conver - Chairman, President & Chief Executive Officer: Joe, we've got three product lines within EES. We have a leading market share position in each of those. Currently, the EV test product line is in decline. That's kind of a post-stimulus environment of over-capacity generated by the stimulus, and it hasn't really grown back yet. The electric vehicle industrial charging market is actually a growth opportunity of electric forklifts and other EV vehicles are continuing to gain share over IC engines. And we do have a strong position in North America in charging infrastructure for plug-in electric vehicles. That's not yet a significant revenue generator. But it has the potential to be very significant if and when the adoption rate of plug-in vehicles reaches even single-digit penetration in the overall car market. We don't expect that's likely to happen within the next few years. Or we do expect it will happen maybe within three years to five years. Overall, we have – we think given the strong position we have and the potential growth in those markets, it's a good option to have in the enterprise. There is a lot of synergy in the underlying technology. Both businesses are essentially focused on electric vehicles and much of the core technology in electric vehicles resides in our EES system. And we leverage the same kind of production and program management and strategic practices and systems across both. In general, the – owning and managing the EES segment has not been a diversion from the other growth opportunities in the UAS system. And we've always felt that if and when that happens, then we would reassess this.
Joe W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, Tim.
Operator: Thank you. There are no further questions at this time. I'll turn the call back for closing remarks.
Steven A. Gitlin - Vice President of Investor Relations: Thank you for your attention and for your interest in AeroVironment. An archived version of this call, all SEC filings and relevant company and industry news can be found on our website www.avinc.com. We look forward to speaking with you again following next quarter's results. Good day.